Operator: Greetings, and welcome to LSB Industries' Fourth Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference call is being recorded. I would now like to turn the call over to your host, Kristy Carver, Senior Vice President and Treasurer. Thank you. You may begin.
Kristy Carver: Good morning, everyone. Joining me today on the call are Mark Behrman, our Chief Executive Officer; and Cheryl Maguire, our Chief Financial Officer. Please note that today's call will include forward-looking statements. And because these statements are based on the company's current intent, expectations and projections, they are not guarantees of future performance, and a variety of factors could cause the actual results to differ materially. As this call will include references to non-GAAP results, please see the press release in the Investors section of our website, lsbindustries.com, for further information regarding forward-looking statements and reconciliations of non-GAAP results to GAAP results. At this time, I'd like to go ahead and turn the call over to Mark for opening remarks.
Mark Behrman: Thank you, Kristy, and good morning, everyone. We're glad that you could participate in our call this morning and appreciate your interest in LSB Industries. We have a lot to be excited about as we speak to you on the first conference call of 2021, from COVID vaccines being rolled out across the country, to our strong operating performance in 2020, to the extremely favorable trends in the nitrogen chemical markets. There is much to be optimistic about for the year. I want to thank our entire team for the success we had last year in achieving a record safety performance and setting several new production and sales volume records, all despite the impact of the pandemic. We're particularly proud of our record safety performance. LSB has undergone a fundamental change in the way our team thinks about safety and operations, striving for excellence and committed to best-in-class performance. Our total recordable injury rate for the full-year of 2020 was a record low of 1.06, with our Pryor facility and the Baytown facility we operate for a partner having operated without a recordable safety incident for the entire year. Our employees are dedicated to our Goal Zero initiative and have embraced a cultural change that has enabled us to produce these results. Our team should not only take great pride in our record safety performance, but also in the by-product of such performance, which is our improved operational results, as evidenced by the record production in sales volumes we generated in 2020. The strong safety and operational performance is particularly impressive when considering the added complications associated with COVID-19. As the pandemic drags on, our entire organization continues to strictly follow the protocols we've put in place almost a year-ago to prevent the virus from spreading within our manufacturing facilities and corporate offices into the homes and families of our employees. While there seems to be a light at the end of the tunnel, with the introduction and distribution of vaccines, we have been planning as if we'll need to operate in a COVID environment at least through the end of this year. We generated significant increases in sales volumes compared to the fourth quarter of 2019. The year-over-year volume growth represents a return on the investments we've made in plant reliability and product upgrading capabilities over the last several years, as well as our focus on continuous improvement in our manufacturing operations. We also benefited from the absence of turnarounds in the 2020 fourth quarter. While selling prices, particularly for our Ag products, remained below last year's already depressed levels and, as anticipated, demand and prices for our industrial and mining products continued to be suppressed due to the impacts of COVID-19, we did a good job focusing on the aspects of our business within our control, particularly with respect to the performance of our manufacturing facilities, rationalizing our operating costs and optimizing our product balance. By focusing on what we can control, we believe, we are well positioned to capitalize on the increase in fertilizer prices that we've experienced over the last six weeks and the recovery of industrial demand and pricing to pre-pandemic levels, which has been unfolding since the second quarter of 2020. Slide 5 provides an update on the state of our agricultural end market and the evolving trends and drivers for commodity pricing and demand. We've seen a significant increase in commodity prices since the fall, and this includes the price of corn, which has risen nearly 50% from a year ago. Fueling the strength has been a collection of factors, including a surge in Chinese demand and a weather disruption in South America that is impacting crop yields from that region and reducing its exports into the global market. Approximately 91 million acres of corn were planted in the U.S. during 2020, which was a slight increase over 2019. USDA's most recent forecast is for approximately 92 million acres, which is a robust enough level to drive very healthy demand for fertilizers. Turning to Slide 6. With respect to our Industrial and Mining business, most of our end markets have seen meaningful recovery since last spring. One of the primary end markets for the nitric acid we produce is the auto industry, which was forced to cease production at the onset of the pandemic in mid-March. As of the end of January, U.S. light vehicle sales have rebounded from last April's lows by more than 90%. Nitric acid is also a major input into a variety of homebuilding products. As of the end of January, U.S. housing starts and building permit applications have rebounded to near pre-pandemic levels. With respect to the products we manufacture for mining applications, primarily low-density ammonium nitrate, favorable indicators have been emerging from the sizable North American copper market, where prices for this metal have risen to the highest levels in almost 10 years. This could drive an increase in copper mining activity in the foreseeable future, particularly given relatively new and growing copper demand drivers such as the mass production of electric vehicles. Collectively, we view the current demand trends we're seeing across the aforementioned key end markets as pointing towards continued increases in sales and prices of our industrial and mining products over the course of 2021, and thereafter, to the extent that the COVID-19 vaccination rollout continues to accelerate and new case rates continue to drop. Over the last several weeks, many areas of the country experienced unprecedented severe cold weather, impacting many people and businesses. The extreme cold temperatures affected much of the natural gas production from Texas to Oklahoma to points north, as natural gas producers found their wells frozen, resulting in very limited availability for natural gas. On top of that, in Oklahoma and Texas, where wind is a significant supplier to the electrical grid, many wind turbines froze up, forcing electrical utilities to switch to natural gas to produce power, increasing the overall demand for natural gas. And of course, with severely cold temperatures comes much higher-than-normal demand for fuel, predominantly natural gas in our region, in order to heat homes and commercial buildings. These factors resulted in a shortage of natural gas, causing prices for the commodity to rise significantly and industrial users to be severely curtailed on their requirements. Many nitrogen producers were forced to or elected to idle their plants. With the supply of nitrogen products in the U.S. tight prior to the cold weather, we believe that these recent widespread production disruptions could substantially reduce available supply of nitrogen to the U.S. market in the coming weeks and further boost the already strong pricing outlook for 2021. Before I hand the call over to Cheryl, I'd like to provide an update on the litigation that we brought against Leidos, the general contractor of our El Dorado ammonia plant expansion project. As the pandemic has caused many trials to be rescheduled, ours was not immune. We now believe that the trial will occur in the fall of 2020 -- of this year. We are looking forward to having our case heard by the jury. And while we can't guarantee any outcome in litigation, we believe our case has serious merits. Now Cheryl will go into more detail about our Q4 financial results. Cheryl?
Cheryl Maguire: Thanks, Mark, and good morning. Page 8 bridges our adjusted EBITDA for the fourth quarter 2020 of $10.4 million to adjusted EBITDA for the fourth quarter 2019 of $7.2 million. The improvement was due to continued progress in year-over-year production and sales volumes. The absence of any turnarounds this year, combined with better overall operating performance, allowed us to generate company records for both ammonia and UAN production, outcomes that are directly attributable to the investments we have made in our facilities over the last several years. Partially offsetting our operating performance improvement was the impact of pricing headwinds that we fought throughout 2020. Lower net selling prices negatively impacted fourth quarter adjusted EBITDA by approximately $9.6 million. However, with corn prices hovering around $5.25 per bushel, an anticipated increase in farmer income is expected to drive higher sales volumes and prices for fertilizers as growers seek to maximize yields. In fact, over the last month, we have seen pricing for our products significantly improve, and that makes us very optimistic for the year. Turning to Page 9. This chart illustrates the earnings power of our business. For comparative purposes, we have normalized for both selling prices and natural gas prices to match those we experienced in 2019 and also added back sales volumes we estimate were lost as a result of the COVID-19 pandemic-related economic slowdown. We think that this analysis illustrates the true underlying operating improvements we've made to the business. With these adjustments, adjusted EBITDA would have been approximately $22 million in the fourth quarter of 2020, approximately 200% higher than 2019 fourth quarter adjusted EBITDA of $7.2 million. Though headwinds on fertilizer pricing and weakness in industrial and mining demand impacted the quarter by almost $12 million, as mentioned earlier, we have reason to believe we are well positioned to capitalize on the positive pricing momentum we are seeing in the market today. Turning to Page 10, we have outlined our adjusted gross profit margins for the past three years, which we believe represents the underlying cash margins of our business. As you can see from this slide, despite the significant drop in the average annual Tampa Ammonia Benchmark price since 2018, we had been able to maintain consistent margins with higher production and sales volumes, lower natural gas costs and reduced fixed costs, resulting in a lower fixed cost per ton of product. With the production improvements made to-date, coupled with further upgrading of margins and continued pricing recovery in our agricultural markets, we would expect consolidated adjusted gross margin to increase to the low to mid 30% range. Page 11 outlines our capital structure. We ended the quarter with approximately $16 million of cash and $58 million of total liquidity. As stated on previous calls, we are actively seeking ways to improve our capital structure and lower our overall cost of capital. We believe that operating improvements made to-date, combined with an improved pricing environment for our fertilizer products and continued recovery in our industrial and mining end markets, will be a benefit in achieving those efforts. Additionally, credit markets over the last several months have been what we would call issuer friendly, a trend that we will continue to monitor. Today, our senior notes are callable at 107%. However, in May of 2021, the call premium declines to 103.6%. We continue to evaluate several avenues to lower our cost of capital and look forward to discussing these with you in coming months. On Slides 12 and 13, we provide an outlook to how we're thinking about the year ahead. On Slide 12, you can see our expected ammonia production and sales volumes for the full-year of 2021. As a result of continued improvement in operating rates, we expect year-over-year improvement in ammonia production despite the loss of approximately 15,000 tons of ammonia, resulting from a 30-day turnaround at our Cherokee facility, which is planned for the third quarter of 2021. It is important to note that the turnaround at Cherokee will also lower downstream production and sales for UAN and other industrial products during this period. Turnaround expenses are expected to be approximately $10 million for 2021 and, additionally, we have total planned CapEx across the three sites of approximately $30 million, which includes approximately $25 million in EH&S and maintenance CapEx and $5 million related to margin enhancement projects. Additionally, we continue our focus to upgrade more ammonia into higher-value downstream production. And in 2021, we expect to begin the ramp-up of nitric acid as a result of a new 7-year offtake agreement that began this first quarter. We also expect new contract awards, coupled with further recovery from COVID-related impact, to result in higher volumes of industrial and mining sales volumes in 2021. Please keep in mind, this sales volume outlook is representative of our current view, which will continue to evolve as we seek to optimize our product balance across agricultural, industrial and mining end markets. Slide 13 covers a range of variable and fixed plant expenses as well as SG&A for 2021. One important thing to note is that SG&A includes approximately $4 million of legal fees leading up to our trial against Leidos, which, Mark mentioned; we expect to occur in the fall. As we think about the first quarter and the first half of 2021, there are a couple of key trends underway. Pricing has moved up dramatically over the past month, and we expect that pricing to be reflected in our sales in the latter part of Q1 and into Q2. Please keep in mind that January and February orders for UAN, HDAN, and ammonia were taken back in Q4 and, therefore, will be reflective of Q4 pricing. The historically cold weather across many parts of the U.S. earlier this month caused disruption to production for us as well as many others across our industry. As temperatures have normalized and gas curtailments were fully lifted, we are at full production for ammonia at El Dorado and expect to be at full production at our Pryor facility over the next couple of days. Natural gas trends, excluding the recent unusual spike from the recent weather event, has seen pricing rebound off lows experienced back in early 2020. And we expect the cost of gas feedstocks to remain higher in 2021 versus 2020. Excluding the impact of the recent weather-related event, natural gas has averaged approximately $0.80 to $1 higher per MMBTu, thus far, in Q1 2021, as compared to the first quarter of 2020. Putting all of these data points together, despite the recent weather events, we expect EBITDA in the first half of 2021 to be approximately 30% to 35% higher than the first half of 2020. Before I turn the call back to Mark, I'd like to point out that we've included an alternative view of our EBITDA sensitivity grid in our Appendix on Slide 22. The grid illustrates the earnings power of the company at different selling prices for Tampa ammonia and UAN and assumes a $3 per MMBtu natural gas price. We feel this is more reflective of our current business, given that the relationship between Tampa ammonia prices and UAN prices has proven to not be highly correlated. And now I'll turn it back over to Mark to wrap up.
Mark Behrman: Thank you, Cheryl. The pandemic impact on demand has eased somewhat over the past two quarters, but still had an impact on our fourth quarter financial results, and we expect it to continue to have an impact on our 2021 first quarter. What has been a greater pressure on our financial results for a sustained period of time, however, has been the impact of historically weak fertilizer pricing. I said on the third quarter call, back in October, that I believe that there was reason for optimism with respect to the outlook for fertilizer prices in 2021, and this has proven to be true. As I mentioned earlier, current and future corn prices are the highest they've been since 2013, and that should result in approximately 92 million acres of corn planted this spring, which will likely prompt growers to have significant demand for fertilizers as they seek to maximize yields, particularly if corn prices remain at levels indicated by the futures market. Additionally, recent data we have been seeing points to a downward trend in imports from several countries that were shipping a meaningful quantity of product to the U.S. over the past year, which will reduce the overall supply of product in our domestic market. One particular dynamic that we remain focused on, though, is the historical relationship between urea and UAN. As you can see on Slide 14, over the past 10 years, UAN has typically traded at or above the price of urea on a nitrogen equivalent basis. However, since mid-2019, UAN began selling at a discount to urea for most of the period. Over the last month, both products have seen product selling prices increase sharply, with the UAN-to-urea discount narrowing, which we believe represents a reversion to the historical relationship. Additionally, in recent quarters, I've discussed the effect of natural gas prices on the nitrogen market. While they benefit our gross margins, they also encourage less efficient marginal nitrogen chemical producers around the world to run facilities that they might not otherwise run, which leads to product oversupply and increased imports into the U.S., while pressuring product selling prices. However, with natural gas prices higher in the U.S. and around the world, as you can see on Slide 15, we have seen marginal producers reduce production, including Western European and Asian producers who tend to sit at the high-end of the cost curve, and that has helped improve product selling prices. We're very excited about the progress we've made over the course of 2020, which positions us to improve our financial performance in 2021. First and foremost is the progress we've made in our operating performance. Our team operated our plans well throughout the past year, and in fact, company-wide, we had record production volumes for both ammonia and UAN for the year, as reflected on Slide 16. While we've still got room for improvement, we were pleased with the increased production volume we delivered in 2020. We expect to continue with strong production volume over the course of 2021. Along with further improvement of the performance of our manufacturing operations, we have numerous other initiatives that we are focused on that we expect to help us continue to improve our financial performance, several of which are summarized on Slide 17. Finally, as mentioned on Slide 18, consistent with the global focus on reducing carbon emissions, we are currently working on developing a strategy to enter the clean energy market for the production of green ammonia. We view this as a growth platform for our business and believe that current ammonia producers are best positioned to be leaders in this market as it develops, due to our ability to leverage our existing knowledge in ammonia manufacturing, handling, storage and logistics. 2020 will go down as one of the most challenging years in recent history. But thanks to the disciplined focus and commitment of our team, we thrived in many ways, as our strong full-year production and sales records clearly show. We're very optimistic about 2021 as demand and pricing trends for the global nitrogen markets are the most positive we've seen since 2014 and believe that will translate into improved financial results. That concludes our prepared remarks, and we will now be happy to take your questions. Thank you.
Operator: At this time, we will be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from the line of Travis Edwards with Goldman Sachs. Please proceed with your question.
Travis Edwards: Hey, good morning. Thanks for the color, and I appreciate the detail this morning. Just first was on some of the detail you provided around the disruptions you shared earlier last week, just on Pryor and EDC in 1Q, just wanted to confirm any details regarding the impact to EBITDA. And then, on a related note, were you able to get ahead maybe on any maintenance work there that normally would have been saved for a later date?
Mark Behrman: Good morning, Travis. So -- yes, I would say, as we've said in both the press releases that we put out related to the unplanned downtime from the weather event, I don't think will have a material impact. We weren't forward purchased on gas. We were unhedged on gas. We didn't have to worry about a spike in gas prices. And ultimately, we got curtailed on gas at both locations. So coupling that downtime with we were able to sell back some gas that we had forward purchased, I think the impact, as I said, will be marginal.
Travis Edwards: Got it. So selling back of that gas should more or less offset whatever loss of it, otherwise, from some disruption?
Mark Behrman: Yes. I don't know if it's going to completely offset that, but, again, I think the impact for the first six months will be minimal.
Travis Edwards: Got it. That's helpful. And then, maybe thinking about later outages even this year that you've got planned, now I know, in the past, maybe in -- with the former team, there has been some tendency to maybe adjust those outages, whether it's the timing or the length of those outages because of strong Ag market conditions. So I was just wondering, as we see pricing improving early in the year, as you think about that 3Q Cherokee outage, should we expect, I guess, is there any variability around the timing of that, the length of that? Is there a scenario where you would adjust, yes, sort of the timing of that outage if Ag market conditions really are, as strong as they are, continue to improve? Or any variability on that front?
Mark Behrman: Well, if we go back to, I guess, last quarter's earnings call, we indicated actually that we'd have two outages this year, one at Cherokee and one at Pryor. We've actually pushed Pryor from this year to next year. So basically, all of our facilities now are on three-year cycles. I think that we would -- I don't believe that we would push our Cherokee turnaround that's scheduled for this year. It is the third year for them. And I think it's really important that we make sure that we maintain the facilities so that they can run at optimal rates. So I really don't see that as we sit here today.
Travis Edwards: Okay. That's good to know the total color. And maybe one more for me I know we tend to discuss each quarter, but just on some of your comments around the refinancing, again, I think you provided helpful color in the release. But just as we think about the go-forward, should our expectation be that, assuming conditions hold, you are able to hit that sort of $100 million EBITDA threshold that you've talked about in the past, and so that this could actually be more a 2021 event? And again, so -- I know we've talked about it a little bit in the past, but any scenario where, if you do come to market, that gets upsized in order to take out a decent chunk of those preferred shares?
Mark Behrman: Well, yes, I think the conditions are pretty good right now, as Cheryl mentioned, for refinancing. So in May, the call premium drops down to a little over 103%. So it becomes much more advantageous and much more economical for us to refi. So we clearly will -- we'll consider that and look at it. I think that we could probably improve on rate and terms, and I think that's important. As far as upsizing it, I think we'll have to really take a look at that. One of the things that we are focused on is reducing our leverage and not increasing the leverage. Even though the preferred, as we've stated a number of times, is expensive, and we'd like to take that out, I don't want to leave ourselves in a position where we're overlevered again. So I think we are working on a number of other ways that we might work with our preferred holder to see if we can either repay some of that and/or just reduce it or maybe even consider discussing terms. So I guess the longwinded answer of saying I think we'll consider maybe increasing the size slightly, but I don't want to get ourselves in an overlevered position, especially as we're really -- markets are turning around, and we're ramping up the financial performance.
Operator: Our next question comes from Steve Ferazani with Sidoti. Please proceed with your question.
Steve Ferazani: In terms of -- I know the nitric acid contract was just kicking off, I want to get your assessment of the early weeks and how that assessment would affect you pursuing more of those cost-plus contracts, and whether the rise in fertilizer prices after a while. I know you like to find the right balance between spot and the contracts. Just a general, what's happened over the last few weeks might affect the pursuing of future cost-plus contracts?
Mark Behrman: Yes. So the contract that Cheryl mentioned has kicked off, but that particular customer is down in the Gulf region, has also had some disruption with their plants. So I'd say it's in the first few weeks, it's been touch-and-go a little bit. We fully anticipate of ramping back our sales to that customer when their plant is back online. And I think they're anticipating no more than a couple of weeks, hopefully sooner than that. As far as industrial and mining versus agricultural sales, look, we've got a collection of assets, right? We've got three integrated facilities as others talk -- our competitors talk about this, we talk about the same thing. You've got flexibility within those manufacturing assets. And so at the end of the day, I think where we like the industrial and mining business, we also are looking to maximize our production, to make as much money as we can make. So I think we continue to look at that. And where we can flex it based on market pricing, we'll do that. But we do like the stability and the protection of the downside in our industrial and -- that the industrial and mining business gives us.
Steve Ferazani: And then you commented on the improvement in UAN pricing and the slow recovery from that discount. Are you confident now that, that can return to historic levels? Because for a while there, it looked like almost it was becoming a more permanent repricing. What's your take on UAN right now?
Mark Behrman: Yes. I don't know that I would say I'm confident. I would say that the discount has narrowed some. I don't know that we're going to get back to the full historical relationship, where it trades at a premium. A lot of that has to do with the amount of domestic production that we have in UAN right now, and that, that market based on supply/demand dynamics is fairly balanced. But I do think we can expect that UAN will not trade as much at a discount as it has over the last year-and-a-half or so.
Steve Ferazani: Okay. And then just one last quick one on the guidance. I'm assuming that given the pricing improvement and the fact that Q2 is generally higher volume, I'm assuming there's a significant ramp to that guidance? Or would you match it up Q1 to Q2? Essentially, would you expect more of a percentage improvement Q2 versus Q2 compared to Q1 versus Q1?
Cheryl Maguire: Yes. So Steve, I think that's -- that's correct. I mean, as we mentioned in our remarks, 30% to 35% improvement in EBITDA in the first half of the year. With respect to the pricing, I did point out that January and February orders were taken back in Q4. So yes, I think you'll see the majority of the upside in Q2.
Operator: Our next question comes from JP Geygan with Global Value Investment Corporation. Please proceed with your question.
JP Geygan: Good morning. I appreciate your time. Your 2021 guidance for AN, nitric acid and other at 410 is about 105,000 tons higher than your 2020 actual production. Assume that's attributable to your nitric acid and L-band [ph] contracts, but can you remind us of the economics of those contracts? And then along the same line, in your prepared comments, you mentioned anticipating new contract awards in 2021 in industrial and mining products. Can you elaborate on which products you might expect new contracts in, or maybe where you have additional capacity?
Mark Behrman: Yes, good morning, JP. so -- yes, you're right. We are seeing some pretty significant growth in non-Ag products. It is -- a lot of that has to do with the new contract award that we got, but we have grown some other customer bases as well and brought on some other new customers, primarily in nitric acid. So I think where we have excess capacity is in nitric acid and AN solution, and we'll look to continue to grow that business. But as I said to one of the earlier questions, I mean, I think at this point, I think we've done a really good job in primarily selling out a lot of our production capacity. So now it's a question of where do we optimize and how can we optimize based on market pricing. Now obviously, if we take contracts on the non-fertilizer side of our business, we've got stipulated terms and conditions that we're contracted for. So we have a little less flexibility there. But I think we feel like we've got enough flexibility that we could take advantage of change in prices pretty quickly.
JP Geygan: Will your growth in industrial and mining volumes materially affect your adjusted gross margins for those markets, or what we've seen historically?
Mark Behrman: No, I don't believe so.
JP Geygan: Okay. Turning to your 2021 guidance on cost, your fixed cost guidance has come down a little bit versus 2020. I'm curious if you see additional room for cost savings on either fixed or variable costs?
Cheryl Maguire: Yes. Good morning, JP. I think I'd say -- Mark and I have both talked about $5 million of savings and fixed costs that we've been working on over the course of 2020 and into 2021. And so I think you're seeing that come out in the guidance that we provided. We're continuing to look at a few other areas where we think we may be able to optimize on costs. We are facing some headwinds on insurance costs, as I'm sure many in our industry are feeling. So that's offsetting some of our additional improvements that we're looking for. But I would say, yes, there are some further opportunities that we're looking at.
JP Geygan: Okay. Your response to Travis' question about your capital structure was informative. I'm curious if I might ask one more question around that. And that would be, as you think about a recapitalization, would that -- would the proceeds from that be entirely devoted to retiring debt and/or preferred? Or would you see opportunities to, I suppose, borrow additional dollars to fund some growth initiatives, recognizing, Mark, that you said your goal is reduced to leverage.
Mark Behrman: Well, I think capital allocation is clearly an important aspect of how we operate the company, right? I mean, for a number of years, I think we've operated at significant leverage, and it would be nice to start to bring that down. So if we had projects that had really great returns, I think we'll look at that all the time. Generally speaking, we've been able to fund those projects, either from additional debt that we took on a couple of years ago to fund a few of those projects. But otherwise, it's really within cash flow because they're not tremendous dollar projects. So I think, first and foremost, though, we'd probably like to look to deleverage. I think that's extremely important for us. But keeping an eye on certainly capital projects that could provide appropriate returns, we absolutely would consider those.
JP Geygan: Okay. And finally, as you think about green ammonia, can you provide any sort of additional information about the nature of investments, the dollar amount of investment or the timeframe over which we might expect that to take shape?
Mark Behrman: Yes. No, I don't think I can give you a dollar amount yet. I think, for us, one of the priorities that we have as a team is we fully intend to participate and really take advantage of what we think is -- will be an extremely lucrative and developing market in green ammonia. So by the end of this year, the latest, I would expect that we would be able to talk about a strategy and how we think we'll enter that market and maybe what locations and hopefully we'll put some dollars to that, but I don't think we're in a position to do that yet.
Operator: Our next question comes from the line of Brian DiRubbio with Baird. Please proceed with your question.
Brian DiRubbio: Good morning. Maybe just starting with the insurance cost. I did see you noted the $1.2 million headwind on Slide 8. Should we expect that headwind for -- throughout the year, in 2021, on a quarterly basis?
Cheryl Maguire: Yes. I mean, I think what I would say is we renewed our insurance in November of 2020. And so there's approximately a $3 million increase year-over-year for insurance costs. But we have been able to offset some of that insurance cost in 2021 with the savings that we've talked about, the $5 million. And so year-over-year, I'd say fixed cost should be lower as compared to last year, which we've kind of identified in our outlook on our -- in our guidance section.
Brian DiRubbio: And then how should we think about expenses for the Leidos litigation as you come up to that trial? What range should we think about? I know you take that out of adjusted EBITDA, but I'm just trying to reconcile it to actual cash.
Cheryl Maguire: Yes. So the trial, as Mark mentioned, is planned for the fall. And so that -- we've got $4 million of spend that we expect over the next, call it, six -- six months.
Mark Behrman: Yes, look, I mean we haven't spent anything really this first quarter. You'll see some spend in the latter part of the second quarter, with most of that spend being in the third quarter.
Brian DiRubbio: Got it. Understood. And then just remind me; with Pryor getting pushed off to 2022, you're going to have then El Dorado and Pryor in turnarounds next year. Is that correct?
Mark Behrman: I think that's on the drawing board right now. I think we'll sit and discuss whether it makes sense. Or can we possibly move El Dorado to the next year so that we actually would be on a schedule one every year as opposed to doubling up in the year.
Brian DiRubbio: Okay. And then just finally, I'm going through the map of a potential refinance situation. Say, when you think about the coal pricing fees, you probably have to borrow at least $460 million, maybe $465 million. What kind of coupon are you guys looking for in order to make this attractive? Because even though the 8% coupon, given the higher principal amount, it would only save you about $5 million a year?
Mark Behrman: Well, I certainly don't do that for a living anymore. So -- I -- we'll have to -- we've had lots of conversations with lots of investment banks about potential terms that we could issue at, and we're certainly pretty keen on looking at the markets and what's getting priced. So it could be as much as 200 to 250 basis point savings. So and I think we'll have to see, as we get closer, there's not an exact date. We don't have any deadline to get something done. So I think we'll be -- put ourselves in a position to launch a refi, should the opportune time come up, and it makes sense for us.
Operator: We have reached the end of the question-and-answer session. I would now like to turn the call back over to Mark Behrman for closing comments.
Mark Behrman: Well, I want to thank everyone for their interest in LSB Industries. We appreciate all the questions. And if anyone has any further questions, feel free to reach out to us. Thank you so much.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.